Operator: Good afternoon, ladies and gentlemen, and welcome to the Scientific Games 2020 First Quarter Investor Conference Call. [Operator Instructions]. At this time, I would now like to turn the call over to Trent Kruse, Senior Vice President of Investor Relations for Scientific Games. Mr. Kruse, you may begin.
Trent Kruse: Thank you, Operator, and good afternoon, everyone. During today's call, we will discuss our first quarter 2020 results and operating performance followed by a question-and-answer period. With me this afternoon are Josh Wilson and Mike Cody. Our call today will contain statements that include forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements involve certain risks and uncertainties that could cause actual results to differ materially from those discussed during the call. For information regarding these risks and uncertainties, please refer to our earnings release issued earlier this afternoon, the materials relating to this call posted on our website and our filings with the SEC. We also will discuss certain non-GAAP financial measures. A description of each non-GAAP measure and a reconciliation of each non-GAAP measure to the most directly comparable GAAP measure can be found in our earnings press release as well as in the Investors section on our website. As a reminder, this conference call is being recorded. A replay of this webcast and accompanying materials will be archived in the Investors section of our website at sciplay.com. Also, supplemental reference slides will be posted to our Investor Relations website. While management will not be speaking directly to the slides, these slides are meant to facilitate your review of the company's results and to be used as a reference document following the call. I will now turn the call over to Josh. Josh?
Joshua Wilson: Thanks, Trent. Good afternoon, everyone, and thanks for joining us. The first quarter represented another solid performance for us as we focused on delivering significant and compelling enhancements across our portfolio to drive player engagement and monetization. As a result, we saw sequential improvement during the first quarter with revenue increasing each month and March delivering the strongest results. As anticipated, we saw our games improve as we enhanced game economies and implemented new quality initiatives across the portfolio. As a result of these efforts, our games were in position to be able to capitalize on new live ops features, such as houses and hotels in MONOPOLY and party pick and prize in Jackpot Party, and we were also able to fully transition Bingo Showdown to the Unity platform. We are very confident we have strength and momentum in all of our games that will enable us to outpace the industry growth in 2020. On top of the improved results we were already delivering, we saw particular strength in late March as a result of the stay-at-home measures across much of the United States. We have seen this momentum continue through April as we delivered record monthly revenue and were up over 20% compared to March. For the quarter, we delivered $118 million in revenue, nearly $35 million in AEBITDA and saw continued significant cash generation of $22 million. We increased payer conversion to a quarterly record of 6.3%. Average monthly revenue per payer increased 9% to $83.58. And we saw our mobile penetration increase to 85%. Looking at our portfolio of games, we saw Jackpot Party continue to drive outstanding growth and also saw solid growth from MONOPOLY and are excited to get back to adding new features to Bingo Showdown now that our Unity conversion is complete. At SciPlay, we are driven by the joy our games bring our global community. One of the core values is play together, which is ingrained in every action that we take in order to serve our players. And so we are honored to be 1 of the 18 original participants in the World Health Organization's Play Apart Together initiative to magnify life-saving messages from the World Health Organization. We know our players really benefited from the Play Apart Together initiative to stay healthy, both mentally and physically. Now with that, I wanted to take a moment to highlight the current drivers and future opportunities which have and will continue to allow SciPlay to deliver industry-leading growth. First, social casino is incredibly sticky genre with games generally evergreen in nature due to their loop-driven game play and ability to naturally incorporate a cadence of new in-game content and events. This is evidenced by our continued growth in our most mature games. Second, our pace of content and feature releases, along with our data-driven, highly targeted and customized experience we provide in our games, results in a loyal and frequency of play. We are seeing this transpire with continued increases in our payer conversion rate. Third, as previously discussed, we have been working on methods to improve game play internationally. In Q1, we fully developed a new solution in MONOPOLY and are currently monitoring the results. Early indications are positive as we are seeing meaningful improvements in the short-term retention, load time and game play dynamics. We are now moving to the layer-on user acquisition in specific international locations to test our abilities to attract and monetize new players. Pending the outcome of these tests and how these players monetize versus the players in our traditional market, we will look to selectively increase user acquisition spend internationally. We will begin to add the same technology changes into other games starting in Q3. And finally, the team is continuing to actively explore several M&A opportunities which will allow us to broaden our portfolio and leverage our significant capabilities around data-driven user acquisition, engagement and monetization to continue to drive growth. As you know, social casino games share several core mobile game concepts with the broader market, such as puzzle games, card games, and match-3 games, which should allow us to leverage our existing capabilities to add new games and markets to enable further industry-leading growth. As a reminder, following our acquisition of Bingo Showdown, we were able to more than triple the run rate of that game, which clearly demonstrates our team's proven capabilities to grow new games along our - alongside our existing games portfolio. We operate with a portfolio strategy across our games, and this segmentation maximizes our portfolio, minimizes cannibalization across our games. Our strategy of building games that appeal to different player segments, that is working. It is important to remember that most of our apps are still in the early stages of their life cycle, so we expect that they will continue to grow DAU and paying players, along with continued growth in our more mature games. As we look ahead, our team is eager to execute our winning strategy, explore new growth opportunities, keep improving our games and drive enhanced results. We believe we are in the very early stages of a multiyear revenue growth and earnings expansion cycle at SciPlay, and we couldn't be more excited about our future prospects and opportunities. Now I'll turn the call over to Mike Cody to walk through the financial information in more detail. Mike?
Michael Cody: Thanks, Josh. In the first quarter, we generated $118.3 million in revenue. Our AEBITDA increased over 39% to $34.8 million. The growth was driven by lower sales and marketing expense and the elimination of the costs associated with royalties for the use of Scientific Games IP. Net income was up over 125% to $31.1 million versus $13.7 million in the prior year. Net income margin more than doubled to 26.3% versus 11.6% in the prior year. Sales and marketing expense of $28.2 million represented 23.8% of revenue, which was down 520 basis points from the prior quarter. As we have previously noted, we adjust our sales and marketing spend based on the current returns and game road maps. Accordingly, we expect fluctuations in the spend as a percent of revenue from quarter-to-quarter. We generated $23.5 million in cash provided by operating activity, net of a $4 million payment related to contingent acquisition consideration, an increase of $15 million or over 175% from the prior year. We ended the quarter with $132.6 million in cash, which was an increase of $22 million from the fourth quarter. I'd note, our accounts receivable balance was $42.4 million, which was a sequential increase of $10.3 million related to the timing of payment from our platform providers. Payment was received early in the second quarter, and our flow-through of AEBITDA to cash remained strong. At quarter end, our available liquidity, including our undrawn revolver, was $282.6 million. We achieved strong growth in net income and AEBITDA in the first quarter, which continues to lead strong free cash flow generation. As Josh mentioned, we continue to expect to outpace the industry growth forecast for the fiscal 2020, which implies growth accelerating through the back half of the year. We believe we are well positioned to continue revenue and earnings growth over the coming years and are looking forward to executing our strategy. With that, we're happy to take your questions.
Operator: [Operator Instructions]. Our first question will come from Shweta with RBC Capital Markets.
Shweta Khajuria: Great. Could you please talk about how you're feeling on the conditions and quality of the games prior to COVID and then the recent momentum that you've seen post-COVID from shelter-in-place regulations you called out, particularly strength - particular strength in April and end of March. That'd be great. And then I have a follow-up, please.
Joshua Wilson: Okay. Thanks, Shweta. This is Josh. We saw continued improvement across all of our games throughout each month from the beginning of the year. Mainly, this was around the quality initiatives that we put in place that we talked about last quarter. They were all executed basically on time, and we were able to get each one of them healthier and healthier as the quarter went through. This allowed us to be able to have full live ops operations going into March and really allowed us to take advantage of the work-from-home situation we started seeing at the end of the month. That has continued all the way through April, where we did see more than a 20% increase from March to April, really along the lines of engagement of people.
Shweta Khajuria: My follow-up is on sales and marketing. So how are you thinking about - with the growth in engagement, how are you thinking about acquisition and acquisition costs or particularly sales and marketing costs through the year? There are some offsets, maybe you'll lean into international market, maybe there is some pullback here in the U.S. How are you thinking about that? And then also the same question for product development.
Joshua Wilson: Okay. So I think Mike and I will probably tag team a little here. From a sales and marketing throughout the first, as our games became healthier and healthier throughout the quarter, we were able to continue to spend in because we were getting the LTVs that were - what we were expecting, shooting for our 6-month ROI goal. As we started the work from home and we started seeing even cheaper CPIs, we were able to even invest a little bit more in the back half of March. We feel very good from this side. From a product side of the world, it kind of caused us to do 2 things. First is focus in short-term live ops, so things to get in front of our players today, items to allow them to be more engaged and to be able to have longer sessions because this is what we were seeing as more time throughout the day, and then at the same time, balancing that we have a full road map of features coming in the second and third quarter of this year. And we were able to transition to our work from home and feel very proud of our team because, at this point, we can say we have not missed any of our internal road map. So we feel very confident that we're going to deliver very meaningful features to our users in the second and third quarter of this year.
Michael Cody: Right. And a quick add-on. Shweta, you asked specifically the price range or the spend that we would look to do for sales and marketing and product development. We would expect both to be on historical norms, so sales and marketing running 23% to 28%, fluctuating again based on what Josh said in terms of where we're seeing good returns, we'll spend into those. And where we're not, we'll shift down a little. Product development has historically run about 6% of revenue. We would expect to see that continue into the future as well.
Operator: Our next question will come from Bryan Kraft with Deutsche Bank.
Benjamin Soff: This is Ben on for Bryan. Just wanted to kind of think about how the situation impacts your business from a high level. So are you guys seeing more people playing your games? Are you seeing more people becoming payers or existing payers spending more? Just kind of curious to get your thoughts there. And then how do you think that a potential economic contraction or recession might impact your business? Also curious there.
Joshua Wilson: Okay. Thanks, Ben. This is Josh. I think Mike and I will kind of tag team again. So I'll handle the first side of the question. Really, the answer is all 3 of what you said. Because our games were in very healthy and we were able to swap out not only the economies during the side but add the live ops. We saw not only an increase from current people. We had an influx of new installs, and we also had a resurgence of reactivation of people who had been playing the games in the past. We see consistent engagement out of all of these cohorts, all the way since probably about the third week of March through today.
Michael Cody: And for the question on the recession, we haven't really lived through a recession with this company. But as you think about how this business lines up against some others, these are small bite-size purchases. They're a great way for somebody to spend some time, and perhaps, they're stuck at home like we're seeing currently, and if they're - have lost their job or something else of that nature. But also, when you compare them to another type of entertainment, such as going to a movie or some other outing that a family would do, it's a much smaller purchase. And so we think we would hold up quite well in any recessionary-type situation.
Operator: And our next question will come from Matt Thornton with SunTrust.
Matthew Thornton: Given kind of the unique situation in April and with COVID, I was wondering if maybe you would talk a little bit about kind of what you've seen in to May and maybe how we should think about the second quarter because, obviously, it's not going to be typical seasonality. And then the industry growth for the year, I think was previously pegged to 7%. I would think that's probably a little bit stale, again, just kind of given what we've seen in the last month or 2 from an industry standpoint. Just curious if there's a different bogey or an updated bogey that you might talk to there. And then I've got one follow-up.
Michael Cody: Okay. So Matt, this is Mike. So on the industry, certainly, the only estimate out there that we've seen is the 7%. Nobody has really done an update that I'm aware of. Certainly, you would expect there to be some kind of adjustment to that at some point. But again, we'll hold out and see where that goes from there. In terms of - I think you've asked specifically about May. We've seen - I'll kind of go back to April. We've seen increases in engagement and across all of our KPIs in April. We mentioned the 20% or more growth over March. We've been seeing good engagement into May as well, and we would expect that, that would continue at some level until this situation plays itself out. However, we don't - we're not in the business with giving guidance at the time because there is so much uncertainty around COVID-19 and when this would end. And so we want to make sure that we're playing this in the right way and operating the business to the point where we're back to normal at some point. We just don't know exactly when that is.
Matthew Thornton: And maybe just one follow-up, if I could, I guess. It sounds like - I don't want to maybe paraphrase, but it sounds like May was a continuation of kind of the strength you've seen in April. And going back to a prior question, do you see opportunity to lean in to use your acquisition here in 2Q, just given, again, a lot more people playing your games? Do you see an opportunity in 2Q? Are you at it as we speak? Or is it too early to tell?
Michael Cody: So yes. So when we did get into user acquisition, we saw it's dropped down CPIs in the second half of March. As we see that, we start to spend into it. Certainly, that's a decision that we make on a portfolio basis, as we've talked about always. As we see those opportunities, we'll spend into them. We don't want to get into too much detail at this time. But certainly, that's something that we'll look to do to expand the business and take advantage of the opportunity while we can.
Operator: And the next question will come from Alexia Quadrani with JP Morgan.
Anna Lizzul: This is Anna on for Alexia. We just wanted to dig in into your MAUs in the quarter. Just wondering if you could comment on your trends there. And you mentioned you saw a consistent engagement out of your cohorts from the third week of March through today. Just wondering what are you doing to bring in new players to the platform as well?
Joshua Wilson: Yes. Thanks a lot, Anna. So I think the way that we're thinking about bringing in new players is kind of a mixture of 2 things. One is taking advantage of the lower CPIs that we are seeing and making sure that we're bringing in the users, but at the same time, putting in the new features inside of the games, that are improving our retention and reproving our day over day. This is actually what is helping us drive a lot more of our DAU is getting more and more people to play multiple days a week. As far as the MAU side that you were talking about, MAU is also driven pretty significantly by user acquisition. And we actually increased our user acquisition as the quarter went as we got games healthier and healthier, and that is what caused our DAU to look relatively flat and the MAU to look just slightly down. We do believe that the MAU is going to flatten out and start growing as now all of our games are healthy, and we're able to continually spend to.
Operator: And the next question will come from Chad Beynon with Macquarie.
Jordan Bender: This is Jordan Bender on for Chad. To dig down a little bit deeper into the strong results you've seen kind of to date, have you seen any different results coming from the states that have somewhat eased restrictions on the stay-at-home order versus the ones that are maybe a little more strict and people are still staying at home and then also, your - trends you're seeing in social versus the more casual space, and how we might think about that in the near term?
Joshua Wilson: Yes, Jordan. So I would say, as of right now, we've seen no major change in any of our engagement. So our engagement numbers have stayed flat as of even the last week, so we're not seeing any major change in that area. Looking at our Bingo game, which definitely plays a lot more of a multiplayer casual game, we are also seeing very strong KPIs and engagement there also. So we do - we believe we're in a very sticky genre as it is, but we do believe the entire mobile market continues to be healthy today.
Jordan Bender: Okay. And then newer trends you're seeing in the social space versus the more casual space, and kind of your near-term outlook for that?
Michael Cody: So I think the question - so we think that Bingo as being our more casual games, I think Josh was answering. That was attempted to answer that question. It's something more specific you're looking there because we're seeing growth and engagement on all levels across all of our games.
Jordan Bender: No. I guess that kind of does answer the question.
Michael Cody: Thanks, Jordan.
Operator: And our next question will come from Drew Crum with Stifel.
Andrew Crum: On international, can you share what markets you're pursuing with MONOPOLY? And what games do you intend to launch in 3Q? And then separately, on Bingo Showdown, now that it's on Unity, when will the enhancements be added? And when should we expect the benefits to flow from those enhancements?
Joshua Wilson: Thanks a lot, Drew. So right now, we are majorly focused in Australia because we have a strong correlation with the brands that we have and the population there. So we do believe it is the best test market. As we said in the opening remarks, we're very early into the UA of that, so we don't have any information to share there. But so far, the results do look positive. Right now, we are looking to slate it to be released in, call it, the back half of this year in probably 1 or 2 of our larger titles, which would either fall into Jackpot Party, Quick Hit or Gold Fish, depending on road map availability. And then Bingo, Drew, we could not be more excited about Bingo right now. We feel like the Unity upgrades that we made in March have fixed all of the technical friction that we were seeing. After we got that update out, we saw each of the engagement KPIs go up with the game throughout the month. We were able to put a new release out in, I believe, the last week of March, first week of April that has 2 major feature updates into it. So right now, we are in a soft launch of this feature update, which is like 5%, 10%. We hope to run that for a 2-, 3-week period, feel good about the technical and then go to a larger from there. So we are hoping to see some improvement from these features yet this quarter.
Operator: And our next question will come from Matthew Cost with Morgan Stanley.
Matthew Cost: Hope everyone's well. So on the MONOPOLY solution that you guys put in, could you give a little bit more detail about what exactly those changes kind of entailed? How it's benefiting the game and then sort of how you think that those changes can be applied more broadly, as you mentioned in the beginning? And then just separately, on the new people that you're seeing come in, whether it's the new users or the reactivation, would you expect those new users that you're seeing come into the ecosystem right now have a lasting effect in that? Do you expect them just to churn out based on the behavior that you're seeing? Or do you think that they may actually sort of stay in the ecosystem for the long term?
Joshua Wilson: Thank you, Matt. All right. So for the MONOPOLY one, it is purely a technology/latency play on our side. Historically, we've been a U.S.-based business, so all of our servers were based in Chicago land area, which works perfectly great for anyone in the United States or North America. But we had the latency of every spin happening from people on the other side of the world. It just would take a couple of seconds. So the major thing that we did was actually put a mirror of our back end in Eastern Europe, which allows us to shrink our latency to not only Eastern Europe but also Australia, making it be a much more similar experience to what we have in the U.S. I hope that answers that question. From the new users, we have nothing - there's nothing that doesn't make us confident that these people are going to behave the way that our users have always behaved. They're engaging with the game. They are playing a little bit more than what they have in the past. But the retention is very normal. The leveling up looks very normal. So we believe if we get the features in front of them and we utilize this time to engage them, these can be long-term customers for us in the future.
Operator: And our next question will come from Franco Granda with D.A. Davidson.
Franco Granda: I was wondering if you - on your business side, if you saw any impact related to COVID, whether it be on the live ops or any other part of the business?
Michael Cody: So nothing - from an internal standpoint, no. So like in terms of us being able to execute on these, we've seamlessly transitioned to work from home and had no impact on that particular view. From the timing of how we execute on live ops, we certainly learn from when people interact with those things that we try, and we adjust the timing of how we deliver those.
Franco Granda: Okay. And then quickly going back to the last question that you had earlier. I guess within your players or the influx of new players that you've had, how are you kind of internally modeling the LTV curves beyond the next month or 2 for the new players?
Joshua Wilson: Yes. So I would say, at this point, the way that we are internally modeling is we are looking at the increase that has happened but then taking the old increases at that point and modeling out what the future will look like. So we're making the assumption that the increase in retention that we're seeing today will fall back to the retention that we had seen in the past, therefore giving us what the LTV model will look like in the future.
Franco Granda: Okay. And then one last one real quick. So on the M&A front, have you seen perhaps an uptick on engagement for prospect companies? And how do you currently view the valuations in this space?
Michael Cody: Yes. So we don't generally comment on M&A, other than to say that we are actively looking at multiple opportunities at any given time. So that's about the extent that we'll comment on M&A at this point.
Operator: And our next question will come from Ryan Gee with Bank of America.
Ryan Gee: So revisiting the 20% month-over-month uplift in April, when you consider that you said March was up from February, and Feb was up from Jan, does that imply that 2Q is likely to be up even more than 20%, let's say, on a quarter-over-quarter basis? Anything wrong with that math? And then it's hard to see in the 1Q metrics for users. They were mostly unchanged. So what's been the biggest driver of that 20% month-over-month uplift? Is it getting top-of-funnel users in, so we'd see it in MAUs going forward? Is it getting deeper down the funnel, and so it's going to be payer conversion? Or is it really just monthly ARPU? Any more color there would be great.
Michael Cody: Ryan, so Mike - this is Mike. I'll take the first part and then hand it off to Josh. So on May, we don't give guidance. So it's hard to say for us how that's going to turn out. Certainly, we've talked about April being more than 20% over March, but that's the extent of what we're going to talk about at this point.
Joshua Wilson: And as far as - and I know this sounds very hard to say, but the reality is it's all the way through the funnel. So we have more people coming in, means more people are interacting with more of the metagame features inside the game. They're playing longer each day. They're playing more days of a week, and all of this is equaling to them having multiple chances to buy more time during a given day. So we're actually seeing an increase of the PPU and an increase of the average revenue per paying user, so it's kind of like all of the funnel has taken a step up.
Operator: Our next question will come from Ryan Sigdahl with Craig-Hallum Capital Group.
Ryan Sigdahl: Two quick ones. So as casinos have been shut down and then as they start to reopen here, do you think that has any positive or negative impact on the social casino gaming?
Joshua Wilson: Okay. Did you have - you said you had 2, do you want to go ahead and ask both, so we just get them all at once?
Ryan Sigdahl: Sure. Yes, yes. So the second one, you guys commented on industry growth right now is pegged at 7%, probably some upward bias to that, I would think. You've previously commented on outperforming kind of whatever that number is. Are you guys still confident in outperforming that 7% or wherever that bogey kind of goes to?
Joshua Wilson: Yes. All right. So we'll try this here, Ryan. So the way I think we're looking at the casinos being closed down today is just an opportunity for us to have more touch points with customers. As we continue to get more of these customers in our game, we get to give them the entertainment. And hopefully, we'll continue to make our games a place that they want to play, even as casinos open back up. So we're very much looking at this as a net positive for our industry. With that said, as far as industry growth, as a company, we are always focused on beating the industry. We always want to be a market leader, and we want to make sure that we continue to go forward.
Operator: And our next question will come from Mike Ng with Goldman Sachs.
Michael Ng: I just had two quick ones. First, could you talk a little bit about your new games strategy? Are there any new games in the casual category that you're thinking about launching this year or next? And then the second question is on whether or not you're seeing the favorability of CPIs continuing from late March into April?
Michael Cody: I'll take the first one on the new games. So as we've stated before, we're always reviewing new game ideas, but we're not - we don't talk about those until we feel confident of getting closer to market. But we do view our new game pipeline, including M&A., so to the extent that we find M&A activity that would help fill that pipeline, we'll pursue that as well.
Joshua Wilson: And we have seen very favorable CPIs. We did continue to seeing them favorable through April and going into May, which has allowed us to really optimize on the fact that we're seeing high LTVs, which is helping us go forward and invest in growth.
Operator: And our next question will come from Jeff Cohen with Stephens, Inc.
Jeffrey Cohen: I hope you guys are all doing well. Can you talk about some of the initiatives that you've done to stabilize your web business? And then how do you expect that business to continue to trend the remainder of the year?
Joshua Wilson: Yes. Thanks, Jeff. We're kind of looking at it. And as we've been able to transition, even, our web business over to Unity, the good news is it's allowed us to put better, more interactive features with - in front of the customers. And being able to do this has helped us maintain more and more of those users inside of our games. At the same time, we are working really hard to get these users to be cross-platform users. So one of the purposes for us is to get them to be able to not only play on their web devices - or web but then also on a mobile device of some sort. This will give us a touch point with them further into the future.
Operator: And our next question will be a follow-up from Matt Thornton with SunTrust.
Matthew Thornton: Can you hear me okay?
Joshua Wilson: Yes, Matt.
Matthew Thornton: Can you guys hear me?
Joshua Wilson: Yes. We can hear you.
Matthew Thornton: Perfect. Just - Mike, you talked a little bit about February being up and then March being up from February. I think most of that was probably driven by the organic efforts around rewrites and refreshes. Can you talk a little bit about maybe just the back half of March versus the first half of March because that's probably when you saw some of the unusual impact as opposed to the organic kind of momentum you had there? And then just one other question there. The industry growth that you guys have talked about, can you remind us what that embeds for either the international initiatives, success with some of the rewrites, refreshes? I don't think it includes any for M&A. But again, just kind of what's embedded in your guidance for beating industry growth?
Michael Cody: So I guess I'll take that part first because we're not officially giving guidance, but what we said is that we are confident that we will be able to beat market - whatever market is. It does not include anything for international M&A, new games. It's essentially our existing games continuing to evolve and grow and develop new features and live ops for those. And the second...
Joshua Wilson: March.
Michael Cody: March, sorry. In the second half of March, we did see about mid-March, business did pick up quite a bit as the stay-at-home order started about March 15 or 16 and grew from there. That's where, as Josh was mentioning, almost every KPI we have started to grow. The entire funnel started to grow, and the business really kind of took off because of the efforts we took in the early part of the quarter with - in January, February, some of these quality initiatives. And we're in a great position to really grow from there, and we're really happy with the results.
Operator: And at this time, there are no further questions in the question queue, and this will conclude our question-and-answer session. I would like to turn it back over to Mr. Josh Wilson for any closing remarks.
Joshua Wilson: Thanks for joining us today. We appreciate your support. The team at SciPlay is incredibly excited about the future, given the strength of our games and untapped growth opportunities we have ahead of us. We are committed to delivering strong results and returns for our shareholders in 2020 and beyond. I look forward to updating you on our continued progress during the next call. Bye.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.